Operator: Good afternoon and welcome to WEC Energy Group's Conference Call for Second Quarter 2021 results. This call is being recorded for rebroadcast and all participants are in a listen-only mode at this time. Before the conference call begins, I remind you that all statements in the presentation other than historical facts are forward-looking statements that involve risks and uncertainties that are subject to change at any time.  Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC's Energy Group's latest Form 10-K, and subsequent reports filed with the Securities and Exchange Commissions could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share, unless otherwise noted.  After the presentation, the conference will be open to analysts for questions and answers. In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately two hours after the conclusion of this call. And now it is my pleasure to introduce --
Peter Feigin: Excuse me. I'd like to interrupt just for a minute. I'm Peter Feigin, President of the NBA Champion Milwaukee Bucks. And I can tell you firsthand in a big way that you can't have a truly great NBA team without an incredible energy company to power you up. So, I'm proud to introduce a personal friend, one of the terrific minority owners of the Bucks, and the Chairman of one of the best energy companies in America, Gale Klappa. Go Bucks and go WEC.
Gale Klappa: Oh, my goodness, wonders never cease. Peter, thank you so much for dropping by, and congratulations from all of us to the world champion, Milwaukee Bucks. And I'm not sure I can top all of that, but no pun intended, let's give it a shot. Good afternoon, everyone. Thank you for joining us today as we review our results for the second quarter of 2021. First, I'd like to introduce the members of our management team. Here with me today, we have Kevin Fletcher, our President, and CEO, Scott Lauber, our Chief Operating Officer; Xia Liu, our Chief Financial Officer, and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. As you saw from our news release this morning, we reported second quarter 2021 earnings of $0.87 a share.  Xia will provide you with more details in just a few minutes. But given our strong performance through the first half of this year, we're raising our annual guidance. The new range is $4.02 a share to $4.05 a share. And our expectation is that we will reach the top end of that range. As always, this assumes normal weather for the remainder of the year. Now, as we look across our business lines, I'm pleased to report that every segment is performing at a high level. Our Companies continue to deliver superior reliability and customer satisfaction.  The solid economic recovery in Wisconsin with commercial and industrial expansion gives us confidence in our projected sales growth. Our balance sheet is strong. We have no need to issue new equity to fund our ESG progress plan. And our plan is well on track for both our regulated and our infrastructure segments. You may know we expect our ESU progress plan to drive average annual growth in our asset base of 7%. At the same time, it's bolstering our sustainability as we invest in renewable energy and state-of-the-art technology.  A good example of our progress is the announcement we made just a week ago, about a $400-million investment in the Sapphire Sky Wind Energy Center. Scott will provide you with more detail on this development in just a moment. But I'll tell you that the offtake agreement is with one of the largest high-tech companies in the world, and we expect the project to meet or exceed all of our financial metrics. We've also made great progress on our plan to build 1800 megawatts of regulated solar, wind, and battery storage.  This carbon-free asset will play a significant role in improving our environmental footprint. Recall that back in May, we set near-term goals that are among the most ambitious in the industry. Reducing carbon emissions by 60% from our electric generation fleet by 2025 and achieving an 80% reduction by the end of 2030, both from a 2005 baseline. Going ahead, that we now expect only 8% of our regulated electricity supply to come from coal by the end of 2030. We believe we can accomplish these targets with the retirement of older, less efficient units, operating refinements, and the use of existing technology as we execute our ESG progress plan.  Of course, our long-term goal remains net 0 carbon emissions from our generating fleet by 2050. And our ongoing effort to upgrade our gas delivery networks and introduce renewable natural gas into our system will help us achieve another aggressive goal, net 0 methane emissions by 2030. You can learn more about these goals and much more in our corporate responsibility report, which we published just last week. And now let's switch gears a bit and take a quick look at our [general] (ph) economy. We're still seeing the positive effects of a strong recovery. Wisconsin's unemployment rate, in fact, stands today at 3.9%. Folks, that's 2 full percentage points better than the national average.  As I mentioned, business continues to grow with new projects across the region. For example, Milwaukee Tool is expanding the operations again here in Milwaukee. If you're not familiar with Milwaukee Tool, the company has been a leader in the development of battery-powered cordless tools. It now has become the world's number one producer of tools for professionals in the construction trades, utility sector, as well as for auto mechanics.  And now, Milwaukee Tool is redeveloping a vacant downtown office tower to provide space for 1,200 new employees over the next 5 years. In addition, a number of other economic development projects are in the pipeline, and we'll be covering those with you in future calls. On that note, I'll turn our call over to Scott for more detail on our sales results for the quarter, as well as an update on our infrastructure segments. Scott, all yours.
Scott Lauber: Thank you, Gale. We continue to see customer growth across our system. At the end of June, our utilities were serving approximately 4,000 more electric customers and 18,000 more natural gas customers compared to a year ago. Retail electric and natural gas sales volumes are shown on a comparative basis, beginning on Page 13 of the earnings packet. Overall retail deliveries of electricity, excluding the iron ore mine, were up 7.1% from the second quarter of 2020. And on a weather-normal basis, were up 5.8%.  We are encouraged by the economic rebound we are seeing in our service territory. For example, small commercial and industrial electric sales were up 10.4% from last year's Second Quarter, and on a weather-normal basis were up 9.2%. Meanwhile, large commercial and industrial sales, excluding the iron ore mine, were up 14.8% from the second quarter of 2020. And on a weather-normal basis, were up 13.9%. Natural gas deliveries in Wisconsin were down 4.9%. This excludes gas used for power generation. And on a weather-normal basis, natural gas deliveries in Wisconsin grew by 2.5%.  Overall, our growth continues to track ahead of our forecast as the economy continues to open up. Turning now to our WEC Infrastructure segment. As Gale noted, we have agreed to acquire a 90% ownership interest in the Sapphire Sky Wind Energy Center. The project is being developed in McLean County, Illinois by Invenergy. The site will consist of 64 wind turbines for a combined capacity of 250 megawatts. We expect it will go into service late in 2022. The projects -- project fits our investment criteria very well. We plan to invest $412 million with a 90% ownership interest.  We now have 8 wind projects announced or in operation in our Infrastructure segment. This represents approximately $2.3 billion of investment. We expect to invest an additional $1.1 billion in this segment over the remainder of our 5-year plan. Our Jayhawk Wind Farm is projected to go into service by early next year and our Thunderhead Wind investment is now projected to go into service in the first half of 2022. These timelines have been factored into our forecast. In case you're wondering about the impact of inflation on these projects, to date, we have not encountered any significant inflationary pressure. Remember that we primarily invest in turnkey projects with developers. So, we are seeing no reduction of returns. With that, I will turn it over to Kevin for an update on our utility operations.
Kevin Fletcher: Thank you, Scott. Touching on some recent developments in Wisconsin, I'm pleased to report that our Badger Hollow 1 Solar project is nearing completion and is producing test energy. As you may recall, we own 100 megawatts of this project in Southwest Wisconsin and Madison Gas and Electric owns the remaining 50 megawatts. This is our second large-scale solar project, and part of our plans for more than triple [Indiscernible] renewable energy between 2021 and 2025.  We expect the next phase of the project, Badger Hollow II, to achieve commercial operations next year. Now, for a few regulatory updates. Recall that after reaching an agreement with the major customer and environmental groups, we filed a request with the Public Service Commission to forego a rate base for our Wisconsin utilities this year. We expect a decision in the weeks to come. And we're pleased that the Commission has approved pilot programs for electric vehicle charging in our Wisconsin service areas.  For these programs, we plan to install charging equipment, and electric distribution infrastructure. This is the first step in our effort to promote affordable charging options for electric vehicles. And we also have an update on the rate reviews at two of our smaller utilities. In Illinois earlier this year, North Shore Gas requested a rate increase primarily due to the significant capital investments we have made since the last rate base in 2015. Recently, the administrative law judge on the case issued a proposed order.  The order recommends a $4.2 million rate increase on a 9.67% ROE and 51.6% equity component. We expect the commission's final decision by mid-September. Finally, in Michigan, I'm pleased to advise you that we have reached a settlement with all parties to conclude our rate review for Michigan Gas Utilities. This settlement stipulates a 9.85% return on equity and a revenue increase of $9.25 million with an equity layer of 51.5%. We expect the commission's approval by the end of the Third Quarter. We have no other rate cases pending at this time. And with that, I'll turn it over to Xia.
Xia Liu: Thank you, Kevin. Our 2021 second quarter earnings of $0.87 cents per share increased $0.11 cents per share compared to the second quarter of 2020. Our favorable results were largely driven by higher earnings from our utility operations. Our regulated utilities benefited from warmer-than-normal weather, recovering economy, continued execution of our capital plan, and our focus on operating efficiency. The earnings package put on our website this morning includes a comparison of second quarter results on page 17.  I'll walk through the significant drivers. Starting with our utility operations, we grew our Earnings by $0.09 compared to the second quarter of 2020. First, continued economic recovery from the pandemic drove a $0.06 increase in earnings. This reflects stronger weather-normalized sales, as well as the resumption of late payment and other charges. Also, rate relief and additional capital investment added $0.04 compared to the second quarter of 2020. Lower day-to-day O&M contributed one penny and all other factors resulted in a positive variance of $0.02.  These favorable factors were partially offset by $0.04 of higher depreciation and amortization expense. I'd like to point out that quarter-over-quarter, the impact of weather was flat. Overall, we added $0.09 quarter-over-quarter from utility operations. Moving on to our investment in American Transmission Company, earnings increased $0.02 compared to the second quarter of 2020. While we picked up a penny in the current quarter from continued capital investment, this was more than offset by a $0.03 benefit recognized in the second quarter of 2020, related to a FERC order.  Recall that this order allowed ATC to increase its ROE from 10.38% to 10.52%, retroactive to November 2013. Earnings at our Energy Infrastructure segment improved one penny in the second quarter of 2021 compared to the second quarter of 2020. This was mainly driven by production tax credits related to wind farm acquisitions, partially offset by less than projected wind resources.  Finally, we saw a $0.03 improvement in the corporate and other segments. Lower interest expense contributed $0.02 quarter-over-quarter. We recognize a $0.03 gain from our investment in the fund devoted to clean energy infrastructure and technology development.  These positive variances were partially offset by a reduction of $0.01 in rabbi trust performance and $0.01 in taxes and others. In summary, we improved on our second quarter of 2020 performance by $0.11. Now, I'd like to update you on some other financial items. For the full year, we expect our effective income tax rate to be between 13% and 14%. Excluding the benefit of unprotected taxes flowing to customers, we project our 2021 effective tax rate will be between 19% and 20%. As in past years, we expect to be a modest taxpayer in 2021.  Our projections show that we will be able to efficiently utilize our tax positions with our current capital plan. Looking now at the cash flow statement on Page 6 of the earnings package, net cash provided by operating activities decreased a $153 million. Our increase in cash earnings in the first 6 months of 2021 was more than offset by higher working capital requirements. Recall that despite the natural gas costs, seeing throughout the central part of the country this February, coupled with higher accounts receivable balances, contributed to this increase in working capital. We were able to improve our working capital position in the second quarter.  With normal collection practices underway in our major markets, we expect working capital to continue to improve throughout the remainder of the year. Total capital expenditures and asset acquisitions were at $1.1 billion for the first six months of 2021, a $93 million increase as compared with the first 6 months of 2020. This reflects our investment focus in our regulated utility and energy infrastructure business.  On the financing front, we continue to find opportunities to lower our interest costs. In fact, in June, we refinanced $300 million of debt at Wisconsin Electric, reducing the average coupon of these notes by over 1.2% and extending the maturity to 2028. In closing, before I turn it back to Gale, I'd like to provide our guidance for the third quarter. We are expecting a range of $0.72 to $0.74 per share for the third quarter.  This accounts for July weather and assumes normal weather for the rest of the quarter. This also takes into account the timing of our fuel recovery and the costs associated with major storms that impacted our system last week. As a reminder, we earned $0.84 per share in the third quarter last year. This includes an estimated $0.05 of better than normal weather. And as Gale mentioned earlier, we are raising our 2021 Earnings guidance to a range of $4.02 to $4.05 per share with an expectation of reaching the top end of the range. This assumes normal weather for the remainder of the year. With that, I'll turn it back to Gale.
Gale Klappa: Xia, thank you very much. In addition to raising our annual guidance, we are reaffirming our projection of long-term earnings growth of 5% to 7% a year with a strong bias toward the upper half of that range. And finally, a quick reminder about our dividend. As you may recall, in January, our Board of Directors raised the quarterly dividend by 7.1% to C/67.75 a share. We continue to target a payout ratio of 65% to 70% of earnings.  We're in the middle of that range now. So, I expect our dividend growth will continue to be in line with the growth in our earnings per share. Overall ladies and gentlemen, we're on track, focused on providing value for our customers and our stockholders. Operator, we're ready now to open it up for the question-and-answer portion of the call.
Operator: Yes, sir. [Operator instructions]. And we'll pause for just one moment to compile the Q&A roster. And our first question comes from the line of Shar Pourreza with Guggenheim Partners.
James Schaefer: Hey, good afternoon guys. It's actually James for Shar. Sorry, Gale.
Gale Klappa: Oh hey, how you doing?
James Schaefer: Good, good. Thanks for taking my questions.
Gale Klappa: Well, what have you done with Shar?
James Schaefer: He's still in his bunker in New Jersey.
Gale Klappa: There you go. Excellent. Okay. Great.
James Schaefer: So, I guess just first on the policy side on Illinois, it sounds like negotiations on the comprehensive package hit an impasse recently. I realize it's not heavily focused on gas, but you guys are still involved. Do you guys have any updated thoughts on the prospects for something to get done in the coming weeks?
Gale Klappa: Well, I think we always thought that getting something done reasonably quickly was a very long shot in Illinois. The one thing that I think stands out post the public discussion of the impasse between the parties is it both the Governor and the Senate majority leader have essentially urged the parties to continue talking.  We'll see what happens. But again, very little impact on gas distribution companies in Illinois. This is a major focus if you -- as you know, particularly on Exelon and on nuclear power plants. Pass or not, agreement or not, there's really no material impact on our company, on Peoples Gas or North Shore Gas in Illinois.
James Schaefer: Gotcha. Thanks.
Gale Klappa: Thanks.
James Schaefer: A little closer to home on the Wisconsin side. WPL's recent settlement had an interesting proposal for the recovery on their retiring Edgewater plan. Have you guys gotten a chance to dig into that, and could that be a template for the balance of the non power the future fleet, which I think it's just [Indiscernible] and Columbia at this point?
Gale Klappa: Well, we're very aware of the approach that Alliant took, and could it be a template for going forward? It certainly could be. It's an interesting approach. I think it's a balanced approach. And certainly, something we'll be taking a look at. As you know, we're planning to retire the older units at our Oak Creek site.  Units 5, 6, 7, and 8. 1960s vintage units, we're planning to retire those. We've announced the retirements in 2023 and 2024. We have plenty of time to continue to work with all the parties involved. But yes, it was a very interesting approach to a settlement and one that really could make a lot of sense going forward.
James Schaefer: Got it. That's all I had. Thanks, and congrats on the results and the championship.
Gale Klappa: Thank you. Appreciate it very much. Tell Shar to behave, okay?
James Schaefer: Will do.
Operator: And your next question comes from the line of Julien Dumoulin Smith with Bank of America.
Gale Klappa: Greetings Julien.
Julien Smith: Hey, hey, how are you?
Gale Klappa: We're good. How about you?
Julien Smith: Congrats with -- quite well. Thank you. Congrats on the recent win here. It must be exciting.
Gale Klappa: Yeah, terrific. It's been great -- it's been great for the city, even great for the region. So happy for the team. And happy for you. I understand that you proposed during Game 6; is that true?
Julien Smith: [So off of the] (ph) heading, right? No. Recently, the -- that I can confirm that. It's been exciting. Thank you. Maybe to cut to other exciting news here you guys, if I look at '21 guidance relative to where you are year-to-date here, you're ahead $0.30.  How are you thinking about O&M in the back half of this year? I know you guys like to push and pull O&M to ensure a linear trajectory here. But as you think about the relatively conservative nature of your guidance, can you comment a little bit on where you stand on the back half this year?
Gale Klappa: Sure. We have a number of maintenance projects planned for the back half of the year. And also, as Sean mentioned, we have some 6 million, 7 million of reasonably extraordinary costs just last week for repair from serious storms that took out over 100,000 customers in Northern Wisconsin and had 6 tornadoes in a line between the Western Milwaukee suburbs and Madison.  We had some extraordinary costs in July, which influenced the range of guidance that Xia gave you for the third quarter. But again, there are numerous projects that we have lined up for the fourth quarter for O&M. I still believe that we will -- our day-to-day O&M will be down for the year. But we certainly have an opportunity to really carry out some very, very good maintenance that will help us for 2022.
Julien Smith: Right. Excellent. And perhaps just to parse that statement a little bit. You still leave it to be down, but your previous expectation is 2% to 3%?
Gale Klappa: That was our previous expectation, and certainly a goal we could hit. But as we look at some of the extraordinary storm costs and other work, again, we believe it will be down. It may not be down 2% to 3%, but that doesn't mean that the trajectory is still long-term, not in place. It still is. It's just a matter of looking at a 6-month period if you will.
Julien Smith: Got it. Excellent. And lastly, can I just [ask] (ph), obviously, you're pretty excited about sales, some of the leading indicators of what sales might do. Can you comment a little bit preliminarily on how you're thinking about trends in the '22 even? I mean, obviously '21 retail sales coming in 1% below '19 on the normalized basis and sets up pretty nicely here as you think about it. But I'd be curious on how you would characterize some of these larger projects, et cetera, coming in.
Gale Klappa: Many of the larger projects that we've been referring to, the larger economic development projects, are now under construction. We wouldn't necessarily expect a big uptick in 2022 from those projects, although there will be some. But really, it's 2023 and 2024, and beyond, where we'll see the big impact from some of the economic development projects.  But I would say as we look at the landscape, again, you go back to the tailwind of the economic recovery in Wisconsin, which has been very strong. Scott detailed the big uptick in large commercial and industrial demand. And Scott, I think one of the more encouraging things to me on the natural gas side of the business is we continue to see very strong customer growth.
Scott Lauber: Yeah, that's exactly correct, Gale. We're seeing good customer growth, specifically on the gas side. But on the electric side too, we're hooking up a lot of new services on both gas and electric in Wisconsin and Michigan and Minnesota on the gas side also, so good growth. And the small commercial industrial really did well this quarter. But remember, it was compared to the first quarter of the pandemic last year, but very happy where the sales are right now.
Gale Klappa: I do think we have to see how the variant continues to spread. Many companies were planning on a significant return to the office, if you will, in September. We and others have now pushed that off till October at the earliest. So that could have some short-term impact, but overall, as Scott said, we feel very, very positive about our projections for demand growth for both gas and electricity.
Julien Smith: Excellent, alright well thank you very much. Take care, see you soon.
Gale Klappa: You too. Thank you, Julien.
Operator: And your next question comes from the line of Durgesh Chopra with Evercore ISI.
Gale Klappa: Hey, Durgesh. How are you today?
Durgesh Chopra: Hey, Gale. Congrats on both front, sports and a great quarter. Just two questions from me. First, for Xia. On the $0.03 gain on Clean Energy Fund, could you elaborate on what that is?
Xia Liu: Sure. We have a very small investment in a fund that invest in development stage companies in the renewable energy space and charging infrastructure space. It's very small -- I think the balance is only $30 million, but we're happy to see the gain.
Durgesh Chopra: Got it. Okay. Thanks. I didn't realize you actually have that investment. Okay. Just -- and then maybe just quickly, Gale, sorry if I missed this, but any update on the Wisconsin rate case proceeding? Your sort of petition to delay the rate case. You haven't heard back from the commission yet, right?
Gale Klappa: Yes, we have now seen publicly the Commission staff memo on the subject, and usually the Commission will vote -- post them -- publication of the staff memo on it -- on any matter like this, within a matter of weeks. So, I would expect within just a matter of weeks, we will have a committee vote on the stay-out proposal. And again, the -- overall the staff memo was just fine.
Durgesh Chopra: Excellent. Congrats again here on back-to-back execution for many years and again this quarter. Thanks.
Gale Klappa: Thank you, Durgesh. Appreciate it.
Operator: And your next question comes from the line of Michael Lapides with Goldman Sachs.
Michael Lapides: Hey, guys. Greetings and congratulations, Gale, and then the City of Milwaukee on the NBA title. That's -- I wish my Grizzlies would pull off something like that, rooting for them. Got a question for you. When I look at your capital budget, your 5-year, and I know you're only a couple of months away from providing investors with an update to that. Year 4 and year 5 are down from years 1, 2, 3. If that actually happens, it means you become a free cash flow generating company.  But if you had to be a wagering man at this earlier stage, and I know year 4 and year 5 is an eternity away. Do you think that actually happens? And if not, what are the things -- what are the buckets that could make year 4 and year 5 or maybe even years 3 through 5 a good bit higher than what you outlined last November for your 5-year outlook?
Gale Klappa: Great question, Michael. First of all, if you look historically at our 5-year capital plan, years 4 and 5 always tail off a bit. It is just kind of how we roll. And the reason for that is, we don't like to have a lot of white spaces and a lot of undefined line items in our 5-year capital plan. So, we tend to give you, particularly for the first 3 years, stuff that we know is actually going to be proposed, is actually going to build upon approval, et cetera.  But historically, I think for all the years I have been here when we've laid out our 5-year capital plan you've always seen a bit of a downturn compared to the first 3 years for years 4 and 5.  So, to directly answer your question, I do not believe when we update our 5-year capital plan, which we'll do on our next analyst call in early November, Beth, I believe? And then, with much more details of the [Indiscernible] finance conference. You're not going to see -- I would be stunned if you saw any kind of a decline in what is now years 4 and 5. It's just not going to happen. Not going to happen in particular because of the strong investment opportunity that we have in front of us.  And what kind of buckets might we see? Well, clearly, there's going to be an additional emphasis on continuing to invest in renewables and battery storage, distribution upgrades, new customer connections, you name it. It'll be across the board, but as you know, a very significant tailwind as we continue to execute our ESG progress plan, continue to reach those lofty environmental goals, those aggressive environmental goals. Again, I wouldn't put too much stock in looking at years 4 and 5 right now. Those buckets will definitely be filled up. Scott, anything to add to that?
Scott Lauber: I think you're exactly right, Gale. We've always had a tendency to be a little bit lower on those other years. And as Kevin mentioned in his prepared remarks, we're just seeing the start of the electric vehicle pilot we have. So, we already got some interest in that, and then we don't even have the order yet. So, I think there's a lot of opportunities ahead on the generation and the distribution side.
Michael Lapides: Got it. And then one follow-up. Gale, you made a comment about inflation. What are you all seeing in terms of cost in -- commodity cost input for things like gas distribution mains, or equipment -- other equipment; things like copper, et cetera? And even on the regulated side of the business -- a larger side of the business and what that does to your CapEx projections?
Gale Klappa: Well, at the present time -- you looked at copper, for example, it was elevated 4, 5, 6 months ago and haven't -- haven't moved much since, for example. We're really frankly not seeing a ton of -- I think as we phrased it, really not a -- no significant impact so far. Now, part of that is because of the way we deal with our infrastructure segment and the fact that we have set prices with developers that have a very long history of being able to procure a very positive and constructive price.  So, on the infrastructure side, we haven't really seen any significant impact at all. On the regulated side, again, a lot of the projects that we have underway, procurement has already taken place. So not much at this stage of the game in terms of inflationary impact. Where we have seen some inflationary impact is actually in the natural gas commodity prices. We were up over $4 per million BTU just the other day.  So, there I think, with the glut of natural gas a bit disappearing across the country, I think we're going to see some elevated natural gas prices, certainly for winter -- the upcoming winter, but that's were, in my opinion, we're seeing the first kind of signs. And then in terms of the future, it's anybody's guess how sticky the inflation numbers are. But one of the things that I always tend to look at for what it's worth. Remember Milton Friedman said that inflation is, has been, and always will be a monetary phenomenon.  One of the things I think that we look at is essentially the growth of the money supply. And if you look at the growth of the money supply, it's already begun to taper off a little bit. It's still up, and up materially, but it's already begun to taper off a little bit. That gives me some hope that while we probably for the next year we'll see some elevated inflation numbers. Perhaps it's on its way to a more normal level.
Michael Lapides: Got it. And hey, one last question, and this is just a modeling one. Can you remind me -- you mentioned, in the prepared remarks, the in-service dates for Thunderhead and Jayhawk?
Gale Klappa: Yup. Scott?
Scott Lauber: Yes. Thunderhead is going to be in the first half of next year. And then Jayhawk should be probably in the first quarter.
Michael Lapides: Got it. So, both of those -- both of those moved a little from original in-service dates?
Gale Klappa: Well, Jayhawk, maybe a month or two, no big deal. Thunderhead we ran into a problem with something called the American burying beetle, which has now been removed as I understand it from the endangered species list. Actually, the construction on Thunderhead is about done. It's a matter of the substation completing construction now that all of that has been worked through in terms of moving forward post the issue with the American burying beetle.
Michael Lapides: Got it. Thank you, guys. Much appreciated.
Gale Klappa: Right. You’re welcome, Michael. Thank you for your questions.
Operator: And your next question comes from the line of Jeremy Tonet with JP Morgan.
Gale Klappa: Hello, Jeremy. How are you today?
Jeremy Tonet: Good afternoon. Thanks for having me.
Gale Klappa: It's been nice being here. Now, go right ahead.
Jeremy Tonet: I just want to touch base on -- with the way, there's wind announcement here, it seems that about half of the planned infrastructure investments are now identified. Is there any timing or tax considerations limiting a continued acceleration here? And just how do you see the market backdrop amid broader infrastructure discussions in DC here?
Gale Klappa: Well, the truth of the matter is, we have timed the size if you will, and the timing of our infrastructure segment investments over the 5-year period to match our tax position and the ability to monetize production tax credits. There's nothing though that would stand in the way of some modest additional acceleration of the investments. You're right, we are ahead of schedule with very high-quality projects.  Going forward, I know there's been a lot of discussion around the industry about lower returns, backlogs, and delays. But I would say, if you look at our pipeline of potential projects, it is still very robust. And we're working with potential projects and developers that have long successful track records. We don't see right now any diminution of the kind of projects that we're interested in for our infrastructure segment.  Or, and more importantly, we're not seeing any -- excuse me -- any significant diminution in returns. In fact, we mentioned, both Scott and I, that Sapphire Sky -- that has the potential to be one of the very best return projects we've ever had. So again, for us -- excuse me -- and for the segment, we're looking at, and for the highest quality projects with great developers, we feel very, very positive about our pipeline. I hope that responds to your question.
Jeremy Tonet: That was very helpful. Thank you for that. Maybe just shifting gears a bit here, and given the elevated market attention on coal generation. And when you think about power, the future coal here, just wondering if you could update us on how you balance local reliability needs with this backdrop and maybe the potential to repower the asset with natural gas. And how near-term could this potentially be if you decide to go in that direction?
Gale Klappa: Well, great question. I'm going to ask Scott to give you his view on this as well. Let me just say two quick things. Essentially, with the retirement of all the core 5 units, that has already taken place on our system. If we announced retirements that we've talked about already, really, there's very little coal-fired capacity left in our system after 2025. You and others were asked about the new units at our Oak Creek site.  Those new units are very efficient -- among the most efficient thermal part and power plants in the world. And I should remind everybody that what we need to do, in looking at the future of those units, is to separate the value of those units from the fuel source. And let me explain that. The new Oak Creek units are ideally situated on the transmission grid in the Midwest. They are very important to reliability in the Middle Western part of the United States, not just Wisconsin. So, we built those units and remember the first unit came online in 2010, the second in 2011. We built those units with some flexibility. In fact, there is natural gas on the site.  It is possible, and we've done it several times, to co-fire the units on coal and natural gas. And yes, it is possible -- technically possible for the units to be converted away from coal to natural gas at some point. In fact, we are taking a look at both from an engineering standpoint and a cost standpoint, the feasibility of doing so. Scott, what would you like to add to that?
Scott Lauber: No, that's the exact right tail. And when you think about the reliability, as you brought up the reliability of the system, and when we look at it and when we talk about 8% of energy from coal in 2030, that still gives a potential for about 17%, 18% of capacity as needed on that really, really peak day to make sure we have the energy that's needed. And Gale, that is exactly right. We can look at potential convergence there in the future. We really have to look at how do we keep the reliability and affordability and clean energy in the system?
Gale Klappa: And one other point, our goal for 2030 of 80% reductions in carbon does not assume any conversion of the new Oak Creek units away from coal to natural gas. So that just gives you a sense of how effective we can be in continuing to reduce CO2 even with very efficient coal-fired units at the new Oak Creek site still in place.
Jeremy Tonet: Got it. Sounds like nice optionality going forward there.
Gale Klappa: And I think that's a great way to describe it. We have a lot of options with a very key asset again to reliability for the region.
Jeremy Tonet: Great, thanks. And just one last one if I could sneak it in here. Thanks for the update on the Wisconsin rate case process there. Just wondering, are you focused on any other regulatory items locally in advance of filing next year?
Gale Klappa: No, it's pretty calm. I mean, it really is. And Kevin described the ALJ proposed order at North Shore Gas, one of our smallest Companies in Illinois, just agreed to a settlement of a rate case in Michigan for Michigan Gas Utilities. But other than that, and the normal course filings, it's pretty steady as she goes.
Scott Lauber: Yeah. The Commission will continue to look at the solar projects we have on the solar and battery projects so we can get approval on those and start implementing that.
Gale Klappa: Yeah, that's a good point. We've made several multiple filings if you will, over the course of the first half of this year, to move forward with at 1,800 megawatts of wind and solar and battery storage regulated for Wisconsin. That's going well.
Jeremy Tonet: Great. Thank you. Kindly, I'll leave it there.
Gale Klappa: Thank you, Jeremy.
Operator: And your next question comes from the line of Sophie Karp with KeyBanc Capital Market.
Gale Klappa: Greetings, Sophie.
Unidentified Analyst: Hi, this is actually signed details for Sophie. Thanks for taking my question, though.
Gale Klappa: Sure.
Unidentified Analyst: About the Oak Creek and Columbia units that you plan to reach higher, can you tell us if they're part of the regulated utility on the unregulated part?
Gale Klappa: No, that -- those are all part of our regulated asset base in Wisconsin.
Unidentified Analyst: And does it -- as you look retiring more in the future, does it make a difference which one you decide to retire first? I'm just trying to get a sense of what factors is go into consideration as you seek units for retirement.
Gale Klappa: Well, that's really a very simple answer, and that is, as we look to retire additional capacity, we look first and foremost at older units that are less efficient. So, it's all driven by age and efficiency, what kind of capital it might take to keep those units alive.  It's really not a complicated formula. We look at age, efficiency, and whether or not it makes any sense from a capital investment standpoint to spend the dollars that would keep those units alive. And of course, as I mentioned, the next units to be retired on our system would be the older Oak Creek units.  They've been part of the Wisconsin retail rate base since the 1960s. That's units 5, 6, 7, and 8 at our older Oak Creek site. And then, we're a joint owner with Alliant for the Columbia Units 1 and 2. Scott, those would retire in the same timeframe, correct?
Scott Lauber: Correct, '23 and '24.
Unidentified Analyst: Okay. Great. Thanks so much.
Gale Klappa: You're welcome.
Operator: And your next question comes from the line of Andrew Weisel of Scotia bank.
Gale Klappa: Hello, Andrew.
Andrew Weisel: : Hi, good afternoon.
Gale Klappa: Good afternoon.
Andrew Weisel: : It seems like so many others you've been facing a growing number of extreme weather events. You've been fortunate and well-positioned to react quickly so it hasn't been devastating in terms of outages. But as you evaluate your O&M programs, do you see an opportunity or a need to change anything as far as storm preparation and response?
Gale Klappa: Well, the short answer is, we continue to invest in reliability. And I'm very proud of our folks, very proud of the fact that We Energies has been named the most reliable utility in the Midwest for 10 consecutive years running. We have -- we have a historic and positive investment program that we continue with to ensure upgrades and reliability.  Not only just from the standpoint of undergrounding some lines as we've done in Northern Wisconsin, but proactive replacement of transformers where we know there's a failure rate, postage 50. There's a lot going on in terms of, again, positive investment opportunities to maintain superior reliability.  I would just say though, Andrew, I'm not sure we're seeing more extraordinary weather events than we have in the past. In fact, in the last couple of years, the tornado season in Wisconsin has been milder than in some previous years. We have seen two or three polar vortex events. But if you look back over the course of the last 40 or 50 years, candidly, and Scott -- we've both been around Wisconsin a long time in the Midwest. I don't think we're seeing a dramatic change in weather events, do you?
Scott Lauber: No. I -- we were having extreme polar vortex years ago. We just didn't have the fancy name polar vortex; it was just cold. But I think you're just seeing more strain on the system across the enterprise or across the country. As -- like we saw in Texas and a variety -- I think are getting a lot more media time too.
Gale Klappa: And to Scott 's point, there's a lesson here from what we're seeing around the country. And it's a lesson that I think all of us who have been around for a while truly believe in, and that is when you have to have it for reliability when lives are on the line when it's -42 without the windshield in Northern Wisconsin, diversity of fuel mix and dispatchability really make a difference.  And that's something we can't forget as an industry or as a Company. Reliability is the bedrock of what we do. Millions of lives were saved by the availability of natural gas this past winter in the northern part of the U.S. We're very cognizant of how important reliability is, and we'll continue to invest to maintain superior reliability.
Andrew Weisel: : Got it. Thank you, everyone.
Gale Klappa: You are welcome, Weisel.
Operator: And your final question comes from the line of Vedula Murti with Hudson Bay Capital.
Gale Klappa: Rock and roll, Vedula. Long time no talk to.
Vedula Murti: Sorry, can you hear me?
Gale Klappa: We can hear you. How are you doing, Vedula?
Vedula Murti: I'm doing well. Thank you. Supposing one touched a little bit on the lesson for your quarter. Just not sure but I guess what I'm more direction in is how you manage to fix the price [Indiscernible] to preserve market capacity prices given a vehicle with technology [Indiscernible] how it begins kind of what we've been seeing and reading about it [Indiscernible] we need to have variability on -- during these periods and just then.  And there are also people. And people have more -- but people in the homes, their ability to be able to talk about one ton of [Indiscernible] call in [Indiscernible] success in Canada for the rate at which you would have to buy us from other parties [Indiscernible]
Gale Klappa: Vedula, I'm very sorry. You broke up several times. I'm not sure that I understood the gist of your question. Beth was a little bit closer to -- Beth, can you tell me what you think Vedula was asking?
M. Beth Straka: I only caught a portion of it related to EVs and the growth of EVs.
Gale Klappa: Okay. All right. Well, we can certainly -- and Vedula if you want to try it again. Again, you broke up a few times and I apologize. We couldn't quite follow you.
Vedula Murti: Oh, well where I was going -- I'm having problems with my phone as well. [Indiscernible]
Gale Klappa: Okay. Well, we can talk a bit about the growth of EVs. Again, we're very pleased. There will be, I think, a number of policy initiatives, both at the federal level, as you know, but also at the state level here in Wisconsin to try to encourage the penetration and customer ownership of EVs. And I see that as another investment opportunity for us.  As Kevin mentioned, we just had approved a pilot program that will allow us to offer cost-effective charging options for a range of customers, including some nonprofit customers, including government entities, et cetera, et cetera. So, we're on it in terms of trying to encourage the adoption of electric vehicles. And we'll see how this goes, but already, again, as Scott mentioned, we don't even have a final order written yet, and we have a number of interested parties, and we're already beginning substantive talks with folks on our EV pilot charging program. I hope, Vedula, that answers your question.
Vedula Murti: All right. I'll go offline. Thank you.
Gale Klappa: Okay. Terrific. Thank you Vedula. All right. Well, I think that covers the waterfront for today, folks. That concludes our conference call for this afternoon. Thank you so much for taking part. If you have more questions, feel free to contact Beth Straka. And she can be reached at 414-221-4539. Thank you, everybody. Take care.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.